Pete Redfern: Good morning, everybody and thanks for joining us. I have got to run through some opening comments on the statement just highlighting the key areas. Get Ryan a chance to add anything that I have missed and we’ll open up for questions. And overall, you can see from the statement that the market over the course for the last few months have continued to be healthy, we saw a good summer trading season and a very good autumn as you can see from the statistics, probably statistics that would jump out to you in most of the sales rates over the second half of the year, sales were about 22%. We’re not chasing volume on those outlets and against that backdrop, our outlook level is very healthy, but year-to-date average is more or less in line with our share where we have stayed slightly ahead at this point last year. So we are very comfortable with our trading sets. In the environment prices have moved up steadily not showing the ramp of price growth of 2013 and early 2014, which showing price growth in the order of 4% to 5% year-to-date. I think slightly more weighted towards the second half of the year so the impact of that is more into 2016 and in 2015. I think many of you have drawn contrast with some of the comments that you heard from some of the agents reporting in the market. I think the biggest difference is that our forecast and our trading is not dependent on strong overall market growth, but it’s dependent on the dynamic. So our land bank, our stable market is improving and so we just need a stable environment to deliver on the forecast that we set rather than strong underlying market growth. And probably also helped by the fact that the new build sector is generally stronger than second hand in trading with the support from some of the government incentives and combination of those two. On cost, we still see inflation but the level of pressure is certainly reducing, we have seen that trend slower during the course of the year. So our guidance for 2016 in terms of cost inflation is slightly below, which is about 5% we’ve seen in 2015. This time last year, when we first guided towards about 5% to 15%, we thought the risk is slightly bit might be slightly more or slightly less I think certainly year-to-date that risk just felt it slightly shrunk. And you see the benefits of our investments in people and the overall sector and supply chain investments in new production in this area also and the main sort of assets that we use. I think we’re also adding more in a way of specification to our plots particularly as we move more up market, I think you’ll see that in material way in terms of P&L impact but certainly for those get in that product quality right and making sure our specification is right for the customers that we are selling to is good. There is not a lot of new use on the land market it continues to be benign you can see the stats with another strong performance on strategic land bringing forward nearly 8,000 plots in the year-to-date. The short-term land market remains sensible, and our focus has continued to be on high margin sites, but particularly driving forward the return on capital. A brief comment on Spain, where we have seen a generally more positive environment, as you can see we’re planning improvements in results in 2015 and I think we’ll see continued improvements into 2016. I think that’s most strongly driven where we’ve been able to invest in a small way, but in new sites in very high quality locations, but also the overall trading environment is better as well. And I’ll just make one other comment on driving so I am going to leave Ryan to talk about return on net assets and cash, but our margin, I think we’re guiding to you to about the 20% level, at least 200 basis points, so from last year and potential for some growth into 2016. Ryan over to you mate.
Ryan Mangold: Thanks Pete and good morning everybody. From a cash perspective, we are expecting to end the year at about £220 million net cash, that’s after returning £380 million to shareholders during the course of 2015 and just remind that have been off the £300 million that we will be paying next year in July as well as the maintenance dividend. And that strong cash position resulting us making very good progress and significant progress towards our medium term targets of converting 65% of operating profits and into cash for the year and that’s driving balance sheet efficiencies with our generally operating assets expected to be in access of 25 percentage points for the year, is a strong progress in that regard and year-on-year, and as Pete mentioned before the guide on operating margin being in access of 200 basis points year-on-year growth.
Pete Redfern: Thank you. Simon if you can open up to questions please.
Operator: [Operator Instructions] The first question today comes from Will Jones from Redburn. Please go ahead, Will.
Will Jones: A couple of topics and I guess pricing and cash look good, firstly just obviously Pete you mentioned in the opening remarks that we are going to get around 4% to 5%. Would you say, that is still indicative of the comments and utilization of sequential moves through the second half of the year in terms of where you are currently at and are there any major kind of regional variations within that. I think Pete back at the April 27th, I think you kind of made a comment then that you thought we could be looking at three to four years of around a 4% circa like-for-like inflation appreciates forward-looking comment, but is there anything I guess this might changed in the last six months to impact that at all? And I guess so finally on pricing just to confirm will you be exiting this year with a kind of positive price versus build cost spread in the order book to drive that early cushion for the 2016 P&L? And then just in terms of cash, am I right in thinking backing out the numbers from the implied net cash balance that you might actually be slightly ahead of the 65% conversion ratio this year. And Ryan perhaps you can just give us a bit of an update on what other working capital items above and beyond ongoing land investment you think we need to be aware of for the next year or two particularly, I guess I'm thinking around London where work in progress a lot? Thanks.
Pete Redfern: I mean there were I figure about eights of questions.
Will Jones: I think it's a two-topic.
Pete Redfern: [Indiscernible] what about sequential well seasonal movements in price, but yes I think the sort of price inflation receive we see yes as I said slightly backend loaded in terms of when the price movements occur because the first year three to four months of the year was fairly flat, so with a long order book that obviously tends to delay the impacts of those price movements. But it isn’t that we certainly see prices take off in the last sort of two or three months it's been pretty steady and to be honest in saying four to five I am probably being on the slightly conscious side and it's sort of probably, actually when we look back with proper accuracy sort of enhanced and we will probably be quoting at something that's slightly higher than that. And yes tell me in a second whether I answered your first question. Regional variations not huge it won't surprise you the higher end of Central London is sort of slower in volume terms, but we are not seeing meaningful weakness in price we are not seeing much price growth there either but some if we have got the sites right and as you know we don’t have a huge business there and we are very happy with the quality of our locations, so overalls we don’t see a big variation in Central London being sort of lagging the rest of the market in any material sense. But for those you may want to and more capacitive parts for that section in the market might tell you a slightly different story, but overall it's generally across the board rather than big regional variations and I'm sorry you are concerned that I probably gave a three to four year price that doesn’t sound like me I am assuming and there is a very good move back right, but fortunately I wouldn’t contradict that either sort of price rises in the 3% to 4% over 3Q is not about base case and around that we'd expect to see some volatility that some periods will be more like the 5% level and some periods more like a 1% level growth that still doesn't fell like a bad base case for what we've seen and the kind of dynamics of supply and demand that we see at the moment. And then coming to your last question on price do we expect to be able to sing year with a positive spread on how prices are of course there is this cost inflation the order book yes not say if as three kind of get towards the certain margins in the low 20s that impact as a little as we talked about before but yes the splattering what was with the positive sort of positive trend.
Ryan Mangold: And them a point Will we have plenty of questions on cash and the cash conversion ratio. There are some pretty material land deals that the business is looking at, at the moment as we are going through the prices on those land deals kind of through this year then it could be next to £20 million out the door and over above and that 220 guide we've given and there is not too much more on other working capital movements we are pretty much in good shape this year for knowing, where we are going to end with some 60 to 30 to go until Christmas so there is not too many other leaders from working capital perspective that you need to know about and the line credit is balanced, we're expecting to grow marginally year-on-year but in the same circle our great land value has grown year-on-year as we continue to reshape and drop the mix from improvement from a quality perspective inherent in the balance sheet.
Will Jones: Yes. Thank you. And things like London work in progress that you have lined up at the start of the year for 2015?
Pete Redfern: Yes. The London business is well on with some construction I mean they are actively constructing on several schemes some of them you can witness quite nicely from as you kind of go around London and they are resolving capital as we guided before and we expect to have approximately 20% of our capital invested into the London markets that still is the broad and direction of travel and there is a bit more growth to go into 2016 from where we are today and clearly growth from ’14 into ’15 as some of these larger schemes are under construction and they will consume some capital but it is not extensive.
Operator: The next question today comes from Gregor Kuglitsch from UBS. Please go ahead Gregor.
Gregor Kuglitsch: Hi. I've got two questions. Can you just elaborate a little bit on your comment on margins I think you sort of -- just correct me if I'm wrong I think you said that you give or take 20 and then sort of flagged another good base for progress into 2016 is that what you are saying? But there is a second question on land market I think you gave us the strategic conversions, I guess the number that I was also looking for is the open market land. Can you give us an update what kind of intake you've been doing and perhaps any color on any particular intake mix to accelerate how that has evolved if at all. And then finally with regards to volume I think you are trying to build an order book for next year given that you complete for volumes this year. Can you I guess give us some kind of sense what kind of growth you are garnering for next year or is it too early to say? Thanks.
Pete Redfern: Okay. Yes I mean on margins yes we do think we got to go base the progress in 2016, but I would just repeat the comments that I made at the half year and I think made with a prudence as we get this splattering point you shouldn’t expect us to be delivering the percentage growth in margins that we delivered through sort of 2012, ’13, ’14 yes there is net of stability but the pace of that improvement will slowdown and just because of the dynamics of how that improvement is driven, but we do still see a good base and arching growth into 2016. On land, and on short-term lands in terms of volume, our short-term land bank will have grown in the course of the year, it’s not massive, it will probably still be in the 70,000 units level. So year- to date we’d average slightly more than we have used on short-term land but not massively and we stand by at what we said in the past but we are large on a replacement sort of track with our short-term land and taking increasing proportion of that land bank into the land bank from strategic land. In terms of margins and sort of returns on those short-term sites, no real change from sort of roughly 20% operating margin on new acquisitions and as we plan that because of the last couple of announcements and increasing focus on driving with those margins returns on capital of where we think there is opportunity and we’re using that in a sort of more benign land environment to focus on that. We don’t think there is a lot of mileage to drive operating margins on short-term land acquisitions not much further than they are, but because we can be very selective, we can select those sort of high returns sites, but maintaining that high margin. And volume growth into 2016, I would again largely reiterate what we’ve said in the past. We think sort of getting that 6% to 7% growth rate that we’ve delivered over the last couple of years would expect too this year and don’t see that as being fundamentally different into next year. I know one or two if you were concerned at the beginning of this year with a general election and with outlook numbers flat, the sort of volume growth this year we would be under risk, we never felt concerned about that, and we feel very similarly going into 2016, if the markets a bit slower, our outlook on this will naturally step-up and there is quite a good balancing sort of pace there, because we’re not heavily exposed to large numbers of sites where we need to get sites open really quickly just to get volume growth with fairly resilience. So I think that 6% to 7% rough volume growth for next year is yes still remains good guidance.
Operator: The next question today comes from Charlie Campbell from Liberum Capital. Please go ahead, Charlie.
Charlie Campbell: Just one for me, just trying to explore the build cost inflation comments a bit more and just wondering if you could split out sort of experience to-date and also the guidance for next year between materials and labor?
Ryan Mangold: Yes. I mean you will understand Charlie, that the guidance it is pretty robust and that it is very hard we don’t need to go for the entire site to exactly split out the difference. We are still seeing the bigger drive on inflation even with that slightly low level of inflation is weighted towards labor and materials. So both are inflating, is it fair to say the materials inflating by 1.5% and 2% and labor’s inflating by sort of maybe 6%-6.5%, that’s probably fair overall. But I can give you examples in labor costs where they are flat or even go backwards in examples in materials where they are going up buy bigger percentages, so definitely more weighted towards labor and very much sort of region-by-region and trade or material type by trade or material type.
Charlie Campbell: And then the comments about inflation moderating, is that a comment on labor or materials or even both?
Ryan Mangold: It’s more on labor I think we still material cost inflation moderate from 12 months ago, if not even a little bit earlier. And so definitely the bigger driver of the growth in 2015 has been labor probably more weighted that ways and the sort of view I have just given you for 2016. So the moderation is almost by definition and more related to labor. But it’s the same source of dynamic sort of the industry, sort of strongest period of growth in actual production was back-end sort of ’13 through first half of ’14. And so that has a ripple effect which takes time to set in we are in an environment where we still have to work hard to get and retain high quality labor, so that drives some inflation, but the balance of that is not where it was it’s more benign than it was 12 months ago. And the market has softened, the operator is softened, then that would adapt to that fairly quickly, so it’s partially self correcting. But we still will see inflation in our industry that is ahead of underlying inflation, just sort of less than we have seen over the last 12 months, which was less than we saw in the 12 months before that.
Charlie Campbell: Sure, thing.
Ryan Mangold: If you could Charlie just think of the scale of delivery of the sector and why did we sort of indicated previously that we think that the pace of deliveries roughly about 150 odd thousand, I think when the specifics came out over the weekend that would suggest, this number is going to complete with 155,000 as opposed to 122 that was previously indicated. So the pace of delivery really running at that more elevated level relative to the surpass that have been assessed, just means that the capacity returning market certainly has been impacted, when it’s different significantly from ’13 and ’15 as Pete mentioned before.
Charlie Campbell: Yes, yes. And do you think that there is more or less competition from the sort of non-residential sectors or are there bits of construction maybe starting to bid up for labor a bit more than you’ve seen in the last few years?
Ryan Mangold: No, not massively on labor, and there are exceptions. I mean you are over 12 back, and you think about here a little bit sort of construction period and did we see a mass margin, no not really. You get the old trade where there is a significant crossover. Probably more so on the materials side, where material supply concrete is not used by that cost base, but where it’s a very much a local spot market then you are more likely to see an impact, but overall it's actually quite an insular year sort of labor base and material supply base and so the read across is not huge and it means this is very responsive from those good and bad in that, so you are unlikely to see a scenario where residential volumes are static or falling while residential prices are not rising and labor cost or material cost for our industry going up between the link so an environment where cost rise above selling prices for instance this is quite unlike in anything other than the short term because the two were most slightly different time lines you could say after six months or so but enhance to correct and I would say is good and bad in that on the downside risk it is a good thing on the up side risk is doesn’t mean sort of cost prices may step up.
Operator: The next question today comes from Andy Murphy from Bank of America/Merrill Lynch. Please go ahead, Andy?
Andy Murphy: I am trying to explore a sort of lack of growth in the supply coming from the second hand market and what you have put that down to and whether that implies that there is any additional pressure implied to yourselves and your peer group in terms of increasing volumes on the new build side?
Ryan Mangold: Yes, I think such as the second hand market is definitely slow up to the number of reasons so that's on which are the that positives for new build about financing and about the industry sort of inside based on maintaining a degree of volume in different market conditions. But I think is more about negatives in the second hand market around transaction cost are movement particularly in the upper end of the market with the stamp duty changes and I just think I across filed like I reasonably underlying probably a long term view of the different sort of land per time that people expects to remain in the house. People do seem to be just focusing that bit more on staying longer in that same area and their aspirations mood change just slightly less and so that does favor sort of new build particularly where we can driven an entry point for somebody over second hand but it's not about the second hand market it's a lot of the second market is a lack of new supply rather than people sort of not choosing to buy those second hand homes, so it's just people staying in the same housing for longer where that's for financial reasons those will stay just an underlying cultural shift for our industry it doesn’t in the balance of supply demand we see over the next year sort of five or six years, I don’t think that causes us a concern for some parts of that such as that general sector like agents than lower level of transactions which does seem to be sort of quite long term is a bit more of a negative.
Operator: The next question today comes from Giovanni Gregoratti from Peel Hunt. Please go ahead, Giovanni.
Giovanni Gregoratti: Anyway I've got a couple of questions one is on the starter homes and how it is not the impact from your kind of your land buying or there is also this up selling can come for and you are hiding is that have any some impacts on your land buying this as since at the moment and the pricing and also you just follow up on that with any comments for land London at the moment you are seeing on pricing and obviously from price points particularly given that what we've heard right from the stamp duty and that the effect on demand at the higher end levels?
Ryan Mangold: Yes, I think that was the forward deal and start times is about as clear as your name is Giovanni. That wasn’t in planning for they haven’t really added a lot prior knowledge. It reminds me of the local is in Delaware few years ago and that is a collection of enabling legislation to enable regulations we brought in place and so it doesn’t tell you an awful about the policy. So we are kind of still where we were at the half year that we see risk in it and that we see opportunity in it there is a sort of reasonably sensible device that making it as realistic as possible but there is still an awful lot questions to be answered, and there is not a lot I can say not because complex asset they will not play what directions as regulations will take around some of the key questions. The only thing we know now that we didn’t know at the half year is we are now certain that it will be a planning driven policy and so it will be about driving effectively a different used class within affordable housing at like low authority level. But there are a number of local authorities they are originally resistant or at least are cautious about that there are some wrinkles about how that impact it on section 106 is and the delivery of infrastructure and so there is lots of questions so it's very hard to know at this moment how significant and deliverable that policy will end up being we just don’t know right now. And so there is a second part to the question and I would say fascinated by your name Giovanni.
Giovanni Gregoratti: Just about -- kind of how was impacting kind of your decision around land buying at this stage? How does the uncertainty kind of read into your land buying particular on the affordable side?
Ryan Mangold: I think it doesn’t have too much an impacts in the view on affordable because actually it sort of feels financially as a bit of zero sum game and that's actually on that side that maybe up side against that zero sum game from this developers point of view. The big way we are slightly cautious and so be careful if we are looking at larger developments with higher numbers of entry level product is this they are not going to impact on pricing on that products if you put a lots of times on that development so it because that focus has been moving up markets generally I think it effect those less than one or two of those. But big game we’re going to be around for a long time heavily focused on, so it’s first on buy product will be slightly cautious. But overall it is a little bit watch this place.
Giovanni Gregoratti: Okay. The other following spot London and pricing in Landon maybe a different price points. So you’ll seen over the last six to nine months maybe that will higher and spin off what is your guy’s prophecy experience at those station actually shift between some of the high-end and low-end stuff what you think?
Ryan Mangold: Yes. There is no doubt, but it’s sort of the lower end of the London market and after London generally remain, so it’s buoyant and healthy you see price growth did not dissimulate trend, so that we’ve described to the country overall and sales rates remain higher than outside Landon at the higher and things are slower. I don’t think prices are generally specific falling, I wouldn’t say that generally rising either, I think that will be specific sites where before sort of a lot of supply when and maybe some pressure on pricing. We haven’t got any that we put in that racket our pricing almost Central London’s gains is pretty flat. You’ve be able to move a bit outside, but not a lot sales rates and those schemes are slower but for asking we’ve don’t operate a lot scale Central London schemes as a general rule. And so actually on many of them as they about sort of ahead but show themselves right really or not concerns for us. I mean we have go new schemes that look at thinking we don’t know how this was sale. We have for instance a scheme and about to say which we would tend deploying to put area with more supply, but our source of acquisition pricing on that scheme at the active time was 20% to 25% what the market was doing. And so we start off with such an upside driven by planning but we’re very maximum price and delivering far more than that sort of financial metrics and which both the scheme, so again you go back to, if you buy the land well and you’re in good places then so it’s back on a market condition, isn’t an issue people is over stretch and got large-scale schemes with a lot of competition, I’m sure there is a lot more pressure.
Operator: The next question today comes from Kevin Cammack from Cenkos Securities. Please go ahead, Kevin.
Kevin Cammack: A couple for me really, would you put or guess some really more about general industry things. Although obviously very relevant you sales as well, firstly if you want, in the last, really the last three years I guess, there is been in relation to when I ask about the event buying et cetera. Have all sort of come out with this seen, we’ve been very selective and we’re basically buying there is a quality side to sort of underscore improvement recovery et cetera. I’m sort of and why quite interested where this sort of endless China better quality sites ultimately is coming from. My first assumption would be the answer to the question why is well, there is just more land coming on and it just so happens that land coming on seems to be a better quality locations. But I’d just like your reassurance I suppose those comments around this is sort of convey a better quality land of surround? And the second question I suppose related back a little bit for this issue of sort of two different cycles appears to be happening between second hand and new build. And again just be interested in your comments around, I suppose the breadth and depth of improvement that you see in the market and if it’s possible I don’t know if it is, but is it possible to make any comments around you own experience, if you sort of exclude help to buy and focus on your open market sales, which you done enjoy any specific inputs from helps by. How is your experience in that end, in that across that range of approach is been equally similar?
Ryan Mangold: Right so taking the first question, first of all, I wouldn’t quite agree, but everybody in the market, all of our competitors or even on same that they are or have a consistent same there are materially selecting better sites. I think, if I do an exercise and go back to true statements and comments on these goals, but how consistent that be most. I think you would find that within consistent for longer with ourselves than most. And without naming names I can absolutely going to raw material in the market or absolutely not doing that. And there are more focused on bottom end affordability and have to provide as cheap a possible product rather than quality of locations. And I think that those come through this vacancy and if they wouldn’t necessarily quite put it that way. So I don’t think it’s quite [indiscernible] but overall I wouldn’t now give you point that there are a number who would say they are buying better sites. And generally for those who are saying it and consistently and clearly it's probably reasonably drove. That certainly is an endless chain of higher quality sites, but you did answer a large about the question yourself there is more land available and that does mean that collectivity as an industry we can't be more selective. It tends to mean that the real box tremendous side, I think quality comes don’t get for which the market have told because landowners and agents recognize there isn’t [indiscernible] a strong market for them and the only sites that don’t get both are at the bottom end level I mean both end you could describe in certainly different ways, but historic to have various different challenges which maybe about quality of location or whatever. And so they are almost sites verse I wouldn’t say that needs also they are coming forward a great the average policy this side they are coming forward is better and not everybody is sort of focusing and as quicker away on the quality of those locations, as opposed to short term sort of on paper financials. I think the other thing is there are couple of other dynamics, but mean the same piece of land today may deliver you right better quality, products and debt to financials and customer graphicness then the equivalent piece of land 10 years ago. Planning is not bit more realistic and then the many-many conversations around sites on the PPG three. The local authority didn’t want to have parking and the one side in hook where we have four and five better housing with the very strong parking space and that includes the garage per house and we don’t have those organize in same way planning is that bit more responsive to accepting that the retail market need for certain kind so it was and not make so the better quality site, that same site with two or three parking spaces per house is a significantly more saleable side and the same side. Yes so it isn’t just about purest location and the last piece I would say is sort of that combination applying an industry dynamic. That same historic with 50% apartments gives you a lot lower quality of location and product than that site that has got 10% departments and makes it house so there is the whole series of dynamics it's not just the certainly the average better land in the UK is so much better that make it possible. But is just rental and there is range just you knows that we have to assess the financial problems on site so it is [indiscernible] but some of got more right than others the themes industry had rolled I think we will look collectively got it more right and then we have done in the past.
Kevin Cammack: Certainly in a way what you are saying is it is basic market efficiency. The land agents know where the demand is and they are not going to bother bring on a whole stream of inverted commas in a non prime sites because they are simply isn’t the demand there?
Ryan Mangold: Yes, no that's absolute, you are right and I think. If you said there are 100 sites and in the previous ultra competitive land environment sort of 400 of those sites will come forward and pretty much 400 doesn’t will get bought well actually you in this environment that will maybe 10 to 15 of those sites which has never come to market until because the land agents know that was sell or won’t sell at a viable price. So I think as you buy them with them come to market but there are more sites in total and there will be a eight a small handful of those that then they will get sold off and numbers of they will get sold off but it tense to be quality reasons while they didn’t get sold.
Kevin Cammack: And would you say you're seeing as many sites you should be happy to bid one today as you were a year ago?
Ryan Mangold: Yes, I would say that others things has been a fundamental feature engine and I wouldn’t say it's materially more but outside it is as many and for those as a business with the level of here sites that are coming three strategic land. We need to act with the short time sights of work, which is why the comments about bending as we more select it particularly on the returns on capital, so there is other single land market is massive and changed in the last year add some flows on the regional level but overall I don’t think it's much different and but where we are and it has shifted in that 12 month period from the tail end of growing the land banks with point that we felt it should be out for their cycle to that replacement dynamic that we've talked about.
Kevin Cammack: Yes.
Ryan Mangold: And then going on to your second question of second hand versus new build. It's a two way so there is positives and negatives in it. I think underlying your question is it general sense, which I would agree with the overall markets is more sustainable and stronger, if you've got a healthy level of second hands supply coming to the market and as such as the sales in that environment and so if you go too much at the market being taken by new board does that mean that when the supply side of the second hand market improves the new board comes into pressure and I think there are some truths in that but at the same time there is just as much upside in the fact that overall there is a depth for demand out there which is still balanced affordability and pricing and so I think what we see in over the course of the last five or six years is real leverage and the demand side of UK housing is strong in a way that we talked about through the last cycle and questions during the sort of 2008 but actually that's up demand is that so and what we say at the moment is real balanced. So I would rather that we saw a healthier second hand industry in terms of scale then we see today, but I think that the lease is much upside from the underlying level of demand that's out there is there is risk from sort of additional second hand supply and going back to your question which is a good one on how to buy it is really hard to scientifically assess when sort of it’s been in the market for the three years, what is incremental effect is today, definitely since it was replacing to change. The mortgage market particularly as materially improved in terms of debt and costs over that three year period. But one piece of evidence, I would point too is that we seen over the last few months. Our Scottish market whether is effectively no help to buy. And in terms of short-term market dynamics worth than that, there is no help to buy today, but there is the promise that will be help to buy a few months time. So if you’re a customer, you have to question we’re now sort of put of that purchase help to buy the thing is driving, the timing of my purchase or my ability to do it. And in that environment, we have been positively surprised by how that Scottish business is continued to trades sales rates. That we haven’t seen also there is not seen any impact, but the impact interesting from overall sale rate that can’t have been significant to the overall drive. We’ve continue to sell homes without help to by Scotland. Where our product is sort of generally targeted levels of helped by usage in Scotland was very high, when it was where and well it’s a bit of Scotland is not been material and wouldn’t have been material enough to reflect our volume delivery during the course of 2015 or 2016 those markets. Now it’s a first time we’ve had a meaningful piece of evidence that what market as previously how to buy market full [indiscernible]. I wouldn’t say the perfect read across to London, but it’s actually quite encouraging in terms of an underlying sector of market demand and mortgage availability.
Pete Redfern: Thank you. And if you look at statistic percentage of sales kind of help to buy product stay pretty static for the last two years kind of big shift in 2015, this is a new product and high demand there [indiscernible] but going into supporting and that comparatively essentially it’s almost identical year-on-year. And [indiscernible] with first time buy, could you make it about three quarters of our sales and we buy it.
Ryan Mangold: As far as remain it’s always think Kevin that I think is a good short-term market in sensitive, but in the perfect. Well that I think, in the long-term, because the long-term you have the big of adjustment, so I still like to say, so it’s a gradually reduce because of two to three years. Now, I mean that’s going to happen before 20-20, but if that can happen and so it’s a 20-20 and almost, I think the market managing, it’s a method of access that’s probably more sorts of significant things and even whether in the end it’s around or not.
Operator: The next question today comes from Glynis Johnson from Deutsche Bank. Please go ahead, Glynis.
Glynis Johnson: It is just one actually you have obviously seen your slide number split is higher selling rate. So I just wondering if you could just give us a little bit more color about how we deal finding or how easy you are finding or hard you are finding the opening of new sites. Are you seeing it become quicker get through the conditions as Pete mentioned conditions driven it kind of movement in terms of ease in opening sites?
Ryan Mangold: No Glynis before I answer, I assume you and Giovanni are going to get together after this and swap name spelling. And yes, I wouldn’t say we seen a shift, so probably cannot repeat what I’ve said before yet. The price is getting a plan information is a bit easier, the process are being getting that sort of plan information through to get the prior opening is probably a bit harder than this probably a slight positive. But we definitely lose time relative to where we were three, four, five years ago and from post planning sort of issues around pre-conditions from local authorities and purely the increased in legislation around environmental conditions and getting conditions signed up particularly with resourcing and planning departments and what need the sign of piece of people to allow side construction to start even once we have a planning permission to take place. So it those means getting out as open is really any materially easier for our business units. But also remain, but we have exercise as we look at next year or whether it’s out, it’s coming from. Because we’re now and makes a few weeks longer than, we think is right. But we’re not dependent to the same extent we were on a slightly binary political decision and planning to buy and we have a better idea whether those are going to go and the effects that we half planning on [indiscernible] is relating the first quarter of next year. So if a case in getting conditions so I don’t know happened which is don’t quite? And so it’s not a lot easier, it’s not accelerate, it doesn’t mean sort of the land bank is naturally [indiscernible] if that person shorten, the land bank or I’m actually show what have more outlets open sot of more choices and it will be a better environment for the overall industry. But so I don’t see there is much chance of getting particularly more resources in the planning department. It’s a one thing the central government really doesn’t want to listen to as an underlying issue for a constraint on the industry that open mind is not other things, but because I think it links into local authority funding that very resistance idea of that constraint. I think they are wrong, but sort of I don’t think we’re going to persuade them off that anytime soon.
Glynis Johnson: So there is no change in since April when they you just be able to have the production approval what’s you could then report [indiscernible]?
Ryan Mangold: Not yet. No all of those changes have taken practical effect at regional level. And as I say get a lot of resourcing so the regulations may improve, but it will be slow before we see that happen I think for having these conversations take some time maybe at that point where we will be able to tell you whether we've seen those changes have any material impact but we haven’t seen it yet.
Glynis Johnson: Okay.
Operator: The next today comes from Peter Testa from One Investments. Please go ahead, Peter.
Peter Testa: Three short questions please. One the plus 5% on billed cost is that Taylor Wimpey over the market. Two on social housing if you can give some understanding of what the social housing numbers are some context for the social housing mix is in the order book please and then lastly just on some understanding of London's impact on ASP or units and maybe a comment on the path that mix trends and they rest of the UK versus the past? Thank you.
Pete Redfern: Okay if I take the first and the last I think Ryan will pick up the special housing question. And the 5% is an inflation number so it's not sort of what we would see an healthy analysis year-on-year build cost number direct but an inflation number but is a PW mix inflation number so if that it's just assuming on geographic mix on mixer side so it's kind of the little but it is closer to a market number for a [Indiscernible] to shake like a is to a sort of year-on-year kind of cost increase number. And the London impacts we've done about 640 completions in London so far this year the overall proportion for business will be probably slightly lower next year but more because of timing as they would on apartments then because if sort of sales like the London order book remains longer than the order book in the rest of the country so sort of market conditions don’t [indiscernible] to compared that volumes significantly and we would still see over that so the makings longer term that number driving slightly from the kind of 900,000 roughly with we've been out and within that the mix of London completions isn’t materially changing but it just tend to be a little bit volatile just because of those individual blocks so I think we have a sort of couple of blocks from our Central London business and a particularly comparative will be sorted but the underlying sort of level isn’t fundamentally different and which is as the business side role it's unlikely to have a material impact on sort of external statistics in any given period I think next year it has sort of that Central London delivery and slightly back end loaded because of completions again then I think you will particularly see from VDI impermanent you might just without see and overall group numbers in terms of appraising but not fundamentally.
Peter Testa: I think Peter on the affordable housing the 2.1 billion without proceeding order book roughly 300 million of that relates to affordable housing of which about half is for delivery in 2016 and the balance there off been so these are slightly longer dates contracts and we've agreed within the own housing providers.
Ryan Mangold: And so just the other things with some comments on path of mix trends for Taylor Wimpey versus and the ex-London any particular change impact versus what we've seen.
Pete Redfern: No particularly change we'd still see mix driven price sort of increases during the course of 2016 over 2015 it's a sort of I think again we would expect selling prices next year so the in the sort of 7% to 8% near sort of up of which roughly a 50-50 the end market price increases that we have seen or we are seeing and sort of that mix number.
Operator: The next question today comes from Clyde Lewis from Peel Hunt. Please go ahead, Clyde.
Clyde Lewis: And Just I think just one for me obviously projects [indiscernible] but just one ahead was on given what's happening in the second hand market and where we are in terms of actually I said this stability in terms of hedged help to buy activity what are you thinking in terms of projects now in this market place and how does that play role for the business over the next 12 to 18 months?
Pete Redfern: We don’t use the amount of projects we never had business unexpectedly through the down side you will see in our level of perfect the balance sheet take place on projects the half of level of that similar sites competitors and that trend on a relative basis is still through today I think we tends to be level at the end of the year but 20 million Ryan. Yes as Ryan said max 20 so in recent years below that I don't see that fundamentally chaining we are using particular circumstances we have our own scheme which was slightly different it doesn’t involve this taking that sort of property on to the balance sheet and have a own underwriting the price effect with are helping the customers so they are running hard and that trend continues so we use it but it's never been particularly material factor for us and with disciplined about the circumstances in which we allow our local businesses to use it.
Operator: We have no further questions on the phone lines. [Operator Instructions] It appears we have no further questions on the phone lines. Pete.
Pete Redfern: That's great. Thank you Taylor and thank you everybody for your time and for joining us as I said at the beginning a good trading environment for us and please to again be able to guide you for this year and next year to continued improvement and growth as we deliver on after a year time. Thank you.